Operator: Good morning, all, and thank you for joining us for the Insteel Industries Fourth Quarter 2024 Earnings Call. My name is Carly and I'll be your call coordinator for today. [Operator Instructions] I'd now like to hand over to your host, Mr. H. Woltz, CEO of Insteel Industries to begin. The floor is yours.
H.O. Woltz III: Thank you, Carly, and good morning. Thank you for your interest in Insteel, and welcome to our fourth quarter 2024 conference call, which will be conducted by Scot Jafroodi, our Vice President, CFO and Treasurer and me. Before we begin, let me remind you that some of our comments made on the presentation are considered to be forward-looking statements that are subject to various risks and uncertainties, which could cause actual results to differ materially from those projected. These risk factors are described in our periodic filings with the SEC. Despite having seen signs of an upturn in market activity during Q3, during Q4, we experienced a continuation of sluggish market conditions, resulting in weak order backlogs that contributed to inefficiencies at our plants. We continue to believe that patience is our only viable strategy since we're unable to create demand and competitors who believe that reducing prices will stimulate demand or result in market share gains are simply mistaken. We've noted that market lethargy is not limited to reinforcing markets, following weaker forecast for producers of cement, steel, aggregates and other construction materials. We look forward to attaining higher operating rates, lower cost and improved revenue and margins that we believe will be supported by future market conditions. I'm going to turn the call over to Scot to comment on our financial results for the quarter and the macro environment, and then I'll pick it up to discuss our business outlook.
Scot Jafroodi: Thank you, H, and good morning to everyone joining us today. As highlighted in our press release earlier, our fourth quarter financial performance for fiscal 2024 reflects the ongoing challenges of tighter spreads between selling prices and raw material costs relative to the prior year quarter. As a result, net earnings for the period dropped to $4.7 million or $0.24 per share compared to $5.6 million or $0.29 per share a year ago. Net sales for the quarter fell by 14.7% to $134.3 million, primarily driven by a 12.9% decline in average selling prices. On a sequential basis, average selling prices fell by 2.8%. As we've highlighted in previous calls, ASPs were again adversely impacted by ongoing competitive pricing pressures within our welded wire reinforcing markets and the growing influence of low-priced PC strand imports. Despite experiencing a modest year-over-year improvement in shipping volume during the third quarter, shipments fell slightly in the current period, declining 2.1%. On a sequential basis, shipments were down 5.2%. The decrease was driven by a combination of weak market conditions within our construction end markets, the impact of low-priced PC strand imports and adverse weather conditions in certain of our markets during the quarter. Gross profit for the fourth quarter fell $1.7 million from a year ago to $12.3 million. However, gross margin increased 20 basis points to 9.1% primarily due to lower unit conversion costs and higher production levels partially offset by lower spreads. On a sequential basis, gross profit decreased $3.1 million from the third quarter and gross margin declined by 150 basis points due to lower spreads and decreased volumes. Unit conversion costs for the fourth quarter improved year-over-year as we continue to align plant operating schedules with current market conditions and further leverage our recent capital investments. However, as I had indicated during our third quarter call, spreads have remained under pressure in the current period as the decline in selling prices once again exceeded the reduction in our average inventory carrying values. Looking ahead to the first quarter of fiscal 2025, we expect that profit margin will continue to face short-term pressure due to the ongoing competitive landscape impacting selling prices compounded by the anticipated seasonal slowdown in demand. SG&A expense for the quarter decreased to $7.5 million or 5.6% of net sales from $8.1 million or 5.2% of net sales last year. The dollar decrease primarily resulted from a favorable relative year-over-year change in the cash surrender value of life insurance policies, combined with lower compensation costs under our return on capital based incentive plan, which was negatively impacted by the weaker full year results. Our effective tax rate for the fourth quarter was largely unchanged at 23%, up slightly from 22.5% last year. Looking ahead to fiscal 2025, we expect our effective rate will remain steady at around 23%, subject to the level of pretax earnings, book tax differences and the other assumptions and estimates that compose our tax provision calculation. Moving to the cash flow statement and balance sheet. Cash flow from operations for the quarter declined to $16.2 million from $38.6 million last year due to a reduction in the relative change in net working capital. Working capital provided $5.3 million of cash in the fourth quarter, driven mostly by a $2.9 million reduction in receivables, reflecting the decline in average selling prices. Our inventory position at the end of the quarter represented three months of shipments on a forward-looking basis, calculated off of forecasted Q1 shipments compared with 2.5 months at the end of the third quarter. Additionally, it's worth noting that our inventories at the end of the fourth quarter were valued at an average unit cost lower than our fourth quarter cost of sales. This is expected to have a favorable impact on spreads and margins in the first quarter as the lower cost material is consumed and reflected in cost of sales, provided that average selling prices do not decrease to a greater extent. We incurred $1.7 million of capital expenditures in the fourth quarter for a total of $19.1 million for the year, which is down $11.6 million from last year. Looking ahead to fiscal 2025, we expect capital expenditures to total $22 million. H will provide more detail on this topic in his remarks. Along with our ongoing efforts to invest in the business to drive both growth and cost reduction, our strong financial position allowed us to return $52.8 million capital to our shareholders in fiscal 2024 through a combination of dividends and share buybacks. This included our highest ever special dividend of $2.50 per share alongside our four regular quarterly dividends, marking the fourth consecutive year that we have paid a special dividend of at least $1.50 per share. Furthermore, we repurchased approximately 58,000 shares of our common equity during fiscal 2024 equivalent to $1.8 million through our share buyback program. From a liquidity perspective, we ended the quarter with $111.5 million of cash on hand and we're debt-free with no borrowings outstanding on our $100 million revolving credit facility. As we enter fiscal 2025, we anticipate a gradual improvement in the business outlook within our construction end markets. This expectation is based on the potential for additional interest rate cuts by the Federal Reserve, which is projected to stimulate demand. However, it's important to note that the current macro indicators for our construction markets present a somewhat mixed picture. The most recent reports for the Architectural Billings and Dodge Momentum Indexes, leading indicators for nonresidential building construction continue to imply weaker business conditions going forward. The Dodge Momentum Index, which tracks nonresidential building projects going into planning decreased 4.2% in September down to 208.6. However, the index is still 21% higher than September 2023. Dodge noted that the decline in September is driven by a drop within the commercial construction segment, driven largely by a moderation of data center activity. Despite this, Dodge suggests that nonresidential activity is expected to increase at 2025 progresses driven by the Federal Reserve rate cuts. In August, the ABI continued to remain in negative territory with a score of 45.7 and a score of below 50 indicates a decline in business conditions. However, there was a positive sign as firms reported an increase in inquiries for future projects, indicating a potential shift in momentum. We are also encouraged by the most recent construction spending data, which continues to show strength. Data from the US Department of Commerce shows that for the first eight months of the calendar year, total construction spending on a seasonally-adjusted annual basis is up 4.1% from August of last year. Nonresidential construction spending saw a 5.2% increase with public highway street construction, one of the major end uses for our products, experiencing a 3.5% increase. However, while construction spending remains high, US cement shipments, another metric we monitor continues to lag behind 2023 levels with shipments decreasing by 2.9% in July at 5.2% in the first seven months of the calendar year. This concludes my prepared remarks. I will now turn the call back over to H.
H.O. Woltz III: Thank you, Scot. As we commented last quarter, the operating environment during fiscal 2024 was difficult as we faced headwinds, including declining steel prices, inventory liquidations by customers, the need to align our finished goods inventories to reflect lower shipments, and finally, the normal seasonal downturn in construction activity. The result, of course, was lower operating rates at our plants, price competition from competitors, experiencing the same weak conditions as Insteel and inadequate utilization of the capital investments that we've made over the past few years. As we look forward to 2025, we expect to see positive trends in nonresidential construction, resulting from the downward trajectory in interest rates, whether demand for our products recovers to acceptable levels, however, is unknowable. As Scot mentioned and as we have stated in the last couple of earnings calls, we are increasingly affected by low-priced imported PC strand from producers in a variety of countries that appear to be circumventing the Section 232 tariff on hot-rolled steel by downstreaming. Continuing the trend that began last year, the average unit value of imported PC strand is lower than the domestic market price for wire rod, the raw material from which PC strand is produced. The industry is carefully scrutinizing strand imports and will pursue antidumping and countervailing duty cases as may be justified. We are also working with the administration to resolve the Section 232 tariff disconnect that resulted in wire rod being subject to the tariff and PC strand being uncovered by the tariff. We believe the administration understands the illogic of the current condition that has actually harmed hot-rolled producers that were the intended beneficiaries of the Section 232 tariff. For these reasons, we're optimistic that a resolution will be forthcoming, although we're realistic about the influence of a presidential election and the influence it has on the process of governing. We're optimistic about the impact on our markets of the Infrastructure Investment and Jobs Act, although at this point, it's difficult to point to specific projects that have affected demand. With respect to IIJA, the Secretary of Transportation has acknowledged delays of multiple years between appropriations and increased demand for construction services and materials. The administration has also been clear that it views IIJA as a new way of funding infrastructure investment and not as a stimulus program. In other words, it does not appear to surprise the administration that the impact of the legislation on infrastructure spending thus far is muted. Meanwhile, of course, inflation is impacting project costs and jeopardizing the viability of some projects. Despite these obstacles, we believe that IIJA funds will ultimately be allocated to projects and spent as intended with a beneficial impact on our industry. Turning to CapEx. We ended fiscal 2024 at $19.1 million with a forecast of $22 million for fiscal 2025 that includes 2024 carryover of $6.1 million. On an ongoing basis, we expect CapEx to range closer to D&A and to be elevated in years when we elect to expand capacity or incorporate new technology into our facilities through equipment replacements. The investments that we've made in state-of-the-art technology will expand our product capabilities and favorably impact our cash cost of production. We believe the companies failing to take advantage of significant technological innovations will become increasingly uncompetitive. It's unfortunate that some of our recent investments have come online during a period of market weakness that has prevented full deployment of our new resources. We should note, however, that we undertake new projects based on our long-term view of their potential impact on the business and we do not try to time markets. As you know, Insteel continues to be debt-free and has substantial flexibility to make decisions for the long-term best interest of its customers and its shareholders. Looking ahead, we are aware of the substantial risk related to future performance of the US economy and we're monitoring the environment. In any event, we're well positioned to pursue actions to maximize shipments and optimize our costs and to pursue attractive growth opportunities both organic and through acquisition. This concludes our prepared remarks and we'll now take your questions. Carly, would you please explain the procedure for asking questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Julio Romero of Sidoti & Company. Julio, your line is now open.
Julio Romero: Thanks. Hey, good morning, H and Scot.
H.O. Woltz III: Good morning, Julio.
Julio Romero: Hey, maybe first off, I know you folks are located in North Carolina. I hope you all are okay and safe. Maybe to start on demand trends in the quarter, if you could talk about the month-to-month cadence of shipments in July, August and September?
H.O. Woltz III: The first part of the quarter was lower and we finished September year-over-year pretty much even.
Julio Romero: Okay. And what's your sense of maybe the impacts on volumes in the quarter. I know you listed a couple of factors, the adverse weather, core demand and the low-priced PC strand impact. Anyway to kind of rank those impacts?
H.O. Woltz III: I don't know how you quantify it, Julio, but we lost hundreds of production hours and shipping hours due to weather events, including hurricanes and unnamed tropical events. And of course, if we lost that time, our customers lost time as well. And I would tell you, business is probably better than our shipments reflect. There's still a lot of optimism among our customers and they're quoting a lot of work. So while we are in a period of softness in our market, it's not the end of the world, and I think we're positioned to see this market bounce back in 2025 or at least not fall off the edge of the table and get worse.
Julio Romero: Understood. I understand volumes were flat year-over-year. As you said, maybe the market doesn't get worse at '25 but maybe what's your sense of whether kind of the gradual improvement in business conditions, the IIJA, monies, et cetera, can lead to volume growth in fiscal '25?
H.O. Woltz III: We're notoriously poor forecasters, but I'll tell you that when we did our annual snapshot of volumes for 2025, it is encouraging, not discouraging. So I think that we'll see probably a gradual increase in activity in our markets over 2025. But I don't, I mean, I certainly don't expect any explosion of volumes, but I think the fundamentals are pretty solid.
Julio Romero: Got it. Fundamentals solid and kind of improving in that trajectory I guess?
H.O. Woltz III: Yes. That's right.
Julio Romero: Okay. And then just last one for me is if you could give us a quick refresher on where you guys are with kind of conversion of rebar users to your engineered structural mesh product?
H.O. Woltz III: We are plowing ahead full steam. We have created substantial new infrastructure within the company to promote and sell the product. Our view is that our legacy systems and legacy infrastructure is really not appropriate to solicit and develop markets that are project related. But it's an uphill battle in some respects, but we are fully committed and making good progress.
Julio Romero: Very good. Thanks for taking the questions and I'll hop back in the queue.
H.O. Woltz III: Okay. Thank you.
Operator: Thank you very much. [Operator Instructions] Our next question comes from Tyson Bauer of KC Capital. Tyson, your line is now open.
Tyson Bauer: Good morning, gentlemen.
H.O. Woltz III: Good morning, Tyson.
Scot Jafroodi: Hi, Tyson.
Tyson Bauer: When we talk about the import price impacts that has been ongoing and you've had different scenarios in the past where that's affected you, you've had some relief on certain countries and then we kind of fall back into that same trap. Are there any levers that you can pull outside of trade restrictions that allow you to lessen that impact? Or is it really reliant on those trade restrictions to be able to get that PC especially the PC strand market more favorable for you? I mean is there anything like Buy America any other programs that can help that's outside of the actual trade restriction?
H.O. Woltz III: Well let me start by saying first that this is nothing new. There is a segment of the PC strand market that has been impacted by imports forever. It was when we got in the business in 1993 and it continues today. In terms of our activity and it is a segment of the market that is affected by this, it is not the entire market. And when we talk about our activity in the trade-related space, what we're doing is pursuing countries and importers of record who are violating US trade laws. It's not a matter of our looking for restrictions against legitimate foreign competition. This is a matter of countries and companies that are violating US trade laws, we will pursue. Now the thing that's different today from any other time since I've been in this business is the Section 232 situation that we are facing, where our raw material is covered by a 25% import tariff, but the finished product is not covered by that tariff. And that produces an opportunity for arbitrage among our offshore competitors that they are well aware of and they're taking advantage of. I would also note that it severely undermines the intention of the administration in implementing Section 232 tariffs in the first place. Their intent was to help the hot-rolled steel producers. But if the hot-rolled steel producers can't sell Insteel wire rod because we're losing business to offshore competitors, then the hot-rolled producers are not really helped at all. And we've warned the Trump administration of this issue when they were considering Section 232, but our warnings were not heeded. We're now working with the Biden administration in cooperation with the hot-rolled producers to make the point that this isn't working. And so I'm confident that we will ultimately reach a favorable resolution on this, but nothing happens quickly in Washington and we worked hard on it. We worked hard on it for a long time. And I would tell you we're close, but we're not there.
Tyson Bauer: But there is a united front within the steel industry, whether it's the Cleveland-Cliffs of the worlds or the Nucors or yourselves and other downstream guys that are pushing for these activities to correct the 232 loophole?
H.O. Woltz III: Yes. Practically, every steel vendor we have has supported us. We have a letter from the Congressional Steel Caucus supporting us. We have a letter from the American Iron and Steel Institute supporting us, one from the Steel Manufacturers Association supporting us, and we have various senators who have weighed in by letter to the Department of Commerce on the illogic of the current situation and the need to fix it. So we have a lot of firepower behind this, but it is an election year, and it is Washington and just nothing happens fast.
Tyson Bauer: Okay. H, given your vast experience going through cycles, going through lowering interest rate environments versus rising interest rate environments, what has been your experience and the timelines to see actual results or improved results? When we're in that mode of lowering interest rates, do we need to see a pause before people take activity to heart or while they're lowering, people are just waiting for the next drop from the Fed, whether it's 25, 50 basis points before they pull a trigger on a project?
H.O. Woltz III: I think that's -- it's a great question. And I would tell you that personally my view is that interest rates have affected projects that are speculative in nature, but probably not so much projects that are for owners. In my own experience, an interest rate of 6% or 7% is not high enough so that it turns what is otherwise a good project into a bad project. So now if you're a speculator and if you're building on spec, then the situation is different. But I don't think that interest rates are so high that they have discouraged owners from investing as they need to invest to build their businesses. And what happens when interest rates begin to fall is a really good question. Do people sit back and do they wait for the next 25 basis points or 50 basis points or do they pull the trigger? My guess is, first, they wait and then you get a second reduction. And I think that it probably loosens up some capital that will flow into projects.
Tyson Bauer: Okay. You talked about some of the impacts you had from the hurricanes in the Southeast. Out of that on the back end, sometimes you get some favorable future opportunities. One of those that has been ongoing are, say, the concrete poles. How do they hold up in these last two hurricanes? And is that something that gains acceleration, although be a small, a little niche part of your business? Do you see opportunities like that arising as these storms increase in frequency?
H.O. Woltz III: Well, first, I'm not really sure that they're increasing in frequency Tyson, but nevertheless, the damage that was brought by the recent storms is stimulative for demand of our products. With respect to concrete poles, it is an accepted application and concrete poles are replacing wooden poles in all kinds of geographies, but particularly in storm-affected zones. And our customers who produce poles are really busy and getting busier. The same is true for pipe and culvert producers where you have all these roads that have washed out. There it is very stimulative for demand of those products. So, yes, the hurricanes and storms will create demand. But as you can appreciate, first, you have to clean up and then you see some new demand.
Tyson Bauer: Okay. And last question for me. Your cash balance is roughly $1 a share less than it was a year ago when you did implement that $2.50. Obviously, those decisions are yet to be made by the Board. But does that imply a comfort level of at least the continuation of that $1.50 minimum or greater as you make those decisions if we look at what you've done in the recent history versus where you stand today with your balance sheet?
H.O. Woltz III: Well, let me answer the question that you didn't really ask. But that is just to repeat that our capital allocation strategy is that we first want to deploy capital to grow our business and we'll do that at every opportunity that we can. And if we determine that we have cash beyond the needs of growing the business then we'll return it to shareholders either through a special or through share repurchases. And still the -- from a share repurchase standpoint, there are all kinds of realities and practicalities of that, that make it difficult for us to deploy meaningful amounts of capital into share repurchases. So I didn't answer your question, but I told you the way we -- about the way we think of this issue.
Tyson Bauer: All right. Thank you, gentlemen.
H.O. Woltz III: Thank you.
Operator: Thank you. We currently have no further questions. So I'd like to hand back to Mr. H. Woltz for any closing remarks.
H.O. Woltz III: Okay. Well, we appreciate your interest in the company. We thank you for your time this morning and we look forward to talking to you next quarter. Thank you.
Operator: As we conclude today's call, we thank everyone for joining. You may now disconnect your lines.